Operator: Good day, ladies and gentlemen and welcome to the Bio-Reference Laboratories Incorporated Third Quarter Fiscal Year 2012 Earnings Conference Call. My name is Aaron, and I will be your coordinator for today. At this time, all participants are in a listen-only mode. We will be facilitating a question-and-answer session toward the end of today's conference. (Operator Instructions). As a reminder, this conference is being recorded for replay purposes. I will now turn the presentation over to your host for today's conference, Ms. Delores Bowman, Acting Investor Relations Coordinator. Please proceed ma'am.
Delores Bowman: Good morning and welcome to the Bio-Reference Laboratories third quarter 2012 earnings conference call. Bio-Reference Laboratory is one of the largest independent regional full service laboratories in the country with focused marketing capabilities in the areas of genomics, oncology, women's health, correctional health and physician office pathology. Leading us on the call today will be Dr. Marc Grodman, President and Chief Executive Officer; and Sam Singer, Chief Financial Officer. Some of the commentary made in this presentation may relate to future results and events. Statements regarding the company's revenue and earnings guidance are based on the company's current expectations. Actual results in future periods may differ materially from those currently expected or desired, because of a number of risks and uncertainties, including general economic and business conditions; future regulatory requirements and mandated pricing reimbursement; the service, customer and geographic market mix of any particular period; the company's ability to effectively manage its operating costs and collect its receivables, the level of demand for the company's products and services and the company's ability to manage its supply and delivery logistics in such an environment. Additional discussion of these and other factors affecting the company's business and prospects is contained in the company's periodic filings with the Securities and Exchange Commission. I will now turn the call over to Dr. Marc Grodman, President and Chief Executive Officer.
Marc Grodman: Delores, thank you very, very much. This past quarter, we posted strong consistent results in terms of virtually every financial metric possible. I believe it's important to spend some time today to put our performance in perspective. Before that, as usual I would like Sam Singer, our CFO to review our results, and then I would like add some additional comments and color following his comments. Sam?
Sam Singer: Thank you, Marc. Good morning, everyone. During the third quarter fiscal year 2012, which ended on July 31, Bio-Reference recorded net revenues of $172,302,000, the highest quarterly net revenues recorded by the company, compared to $148,029,000 third quarter of the prior fiscal year, an increase of 16%. Gross profit on revenues for the current quarter was $86,049,000 representing a 50% gross profit margin. In the third quarter of the prior year, gross profit on net revenues were $73,432,000, representing a 50% gross profit margin. Earnings per share or net income after taxes were $0.45 per share in the current quarter, versus $0.36 per share in the prior year quarter. Patient count for the current quarter increased to $1,997,000, from $1,745,000 for the prior year quarter, an increase of 14%. Net revenue per patient for the third quarter just ended was $85.65, compared to $84.20 per patient in the same quarter of the prior fiscal year; an increase of 2%. On July 31, 2012, working capital was $140,211,000, a 30% improvement over the $124,266,000 that we reported on October 31, 2011. Our Days Sales Outstanding on July 31, 2012 were 79 days. Our net revenues were $485, 342,609 for the nine-month period ended July 31, 2012, representing a 19% increase over the net revenues for the same nine-month period in the prior fiscal year. Our gross profit on net revenues for the current nine-month period was $2,336,000, $772,000 or 49%, compared to the prior fiscal year of $105,876,000, or 48%. The number of patients serviced during the current nine-month period was 5,762,000, which were 17% greater than the prior-year comparable quarter. Net revenue per patient for the nine-month period just ended was $83.57, which was 2% greater than the prior year comparable period. Earnings per share on net income were $1.05 per share for the nine-month period just ended, as compare to $0.92 per share in the prior year. Thank you and I'll now turn the call over to Dr. Grodman.
Marc Grodman: Sam, thank you very much. I wouldn't care what word we use. Impressive, strong, Bio-Reference has demonstrated what we believe is a very impressive track record of growth and expansion for more than two decades and we are extremely pleased and proud to report another successful quarter of earnings, growth and innovation. During the first half of this fiscal year, this current fiscal year, we introduced OnkoMatch, our tumor genotyping program. Inherigen, our pan-ethnic carrier screen, and GenCerv one of the groundbreaking new services in oncology and Women’s Health, and we spent years developing. We believe that these new offerings will pave the way for our continued growth and expansion in future years. Innovation in science, innovation in reporting, and also in providing more information to our customers have enabled us to maintain steady growth. GeneDx, our genetics laboratory, continues to lead the way for the development introduction of new testing services in an every aspect, new and planned in genetic sequencing. Make no mistake about Bio-Reference. We are a national laboratory with a national presence. We have a great deal of business in the New York region, but we derive an even greater portion of our revenues from the specialty markets that we service across the country. We are able to grow because of that national footprint and our ability to introduce consistently whatever the year, whatever the area. We introduced our service, support and technology throughout the country. We may have developed our clinical strategy in the Northeast, but we've successfully implemented this throughout the country and many of you are in the front of me witnessed this plan as we've outlined what we were doing and what we were going to do quarter by quarter every step along the way. We understand that we provide a service and our ability to tailor that service to the individual market to the individual type of physician we serve has enabled us to reaffirm our guidance that we gave earlier at the outset of this year of an increasing net revenues by more than 15% and net income of around 20% for Fiscal Year 2012. Last year on after the quarter conference call, I spoke of our first planned conference call that was scheduled a decade earlier. A year ago, I contrasted Bio-Reference over that intervening decade and shown over that 10 years how much and what we have done. On our call last year I noted that there was a great deal of negativity surrounding our lives, and in some way the same is true now. The markets are placing the world divisions among us all seem to pervade every thought and assessment we count on a daily basis. It's incumbent therefore for me to comment on the differences in Bio-Reference over the past year. We have continued strong growth, especially strong when you consider the rest of the market, successfully introduced new services in which we've invested a great deal of capital, human and otherwise. Today, we report record revenues, record profits, strong cash flow and record low DSOs. More importantly, our role as an innovation leader in diagnostics has never been clearer. We grew over 16% in revenues, 16.4% specifically. I want to put this in perspective. We've said for years that the greatest challenge to our continued growth will be the increasing denominator that may decrease percentage increases as we grow. That's not the point. That's not the point I want to make. It's been reported by others that laboratory volumes were decreasing, somewhat weak right now. I don't know if that's true. We did observe some softness in the Thursday through Saturday portion of the week during some months, but no similar softness was seen for the remainder of the week. Either the May, it's hard to evaluate volume changes in either the summer or during the holiday season at the end of the year. That's not the point I want to make. On the last call, I mentioned that when we introduce new services, often the first order of business is to up-sell existing accounts rather than to use the new services to obtain new accounts. This typically results in a bit lower growth, but improved revenue per patient and our revenue per patient increased in the third quarter to $85.65, the highest in the company's history. That is not the point either. The key point that puts our results in perspective is that our growth in net revenues in the third quarter a bit over $24 million over the same comparable quarter last year is greater in absolute dollars and the increase for the last reported quarter are two largest competitors combined. This does not exclude acquisitions. They are simply fully reflected of the last reported numbers. It's a metric that's clearly not sustainable. It's in fact incredible with regards to Bio-Reference, and there is no way any comments on our competitors, but it does reflect the difference and does reflect who exactly Bio-Reference is. Bio-Reference pays for growth. We invest in innovation, expensing research and development and brining scientists into our company who not only give us the clinical applications, we adopt the ability to use advances in technology to make them a reality. Our record of innovation is as impressive as our history of growth. As a percentage of revenues, we've spent more than our large competitors in sales and marketing. Great ideas need to be sold. That's become a critical part of our operation. This is who we are, a growth company that relies on better science and better service. With all those points in mind, I want to focus on some of the more granular details of the third quarter. Esoteric testing as a percentage of overall revenues grew to 61%. We experienced growth in all elements of our business, specialty and routine local and national. We believe that there needs to be a balance between routine and clinical testing in esoteric testing. However, we believe that we have plateaued at around 60% and thereabout of the esoteric level and we expect it to remain fairly steady since growth comes in all parts of our business mix. Gross margin was at 50%, an improvement by basis points last year, but still rounded out for the same number. These results should not be surprising. As I mentioned in the past, our challenge through gross margin are attributable of several factors and we'll never leap forward in a single bound. Other SG&A expenses, excluding sales marketing and bad debt were all just under 13.5% of net revenues, somewhat lower than the same period last year and substantially lower from the second quarter of this fiscal year. Sales and marketing expenses were just over 9% of revenues, somewhat flat as a percentage compared to the same period last year, and down from the preceding second quarter and consistent with our often stated goal of 9% to 9.5% in order to maintain our growth in marketing and sales. We will continue to make opportunistic additions to this area, but we expect our level of spend as a percentage of revenue in this area to remain somewhat constant. Bad debt was just a bit over 13.5%, somewhat lower than the same quarter last year and certainly in line with our recent trends. We expect it to remain in this range for the remainder of the year. Bad debt for the nine months both, for the year and last year worst identical at 13.5%. Day sales outstanding was 79 days compared to 92 days for the prior fiscal year same quarter and down from 81 days sequentially from the second quarter. I believe that we've been able to consolidate our gains in DSOs, and that are working at a new plateau. We remain pleased with our progress in this area, because we maintain our ongoing long range goal to do better and as well as we can. Cash flow from operations for the period was $13 million, clearly improved from being just short of $1.5 million for the same period last year. Operating cash flow for the nine-month was just under $37 million, compared to $4 million for the first nine months of last year. Free cash flow was just shy of $10 million for the quarter, compared to not generating any free cash flow for the same period last year. Our tax rate was somewhat above 43%, both for the nine months and the quarter slightly less than the rates from last year, which is primarily the result of more work being done outside of New York and New Jersey, and this will be the assumed rate going forward. We believe that Bio-Reference has never been stronger. Our organization has never had depths of people of capabilities that we posses today. This year, we've transitioned from moving innovative new services out of development mode and into implementation. We've able to maintain our focus on additional new services and programs that we will be announcing over the next few months that we believe will further ensure our continued growth in the future. In our industry, we face many challenges and that will define us for the future. I would like to address some of them right now. During the last few months, CMS has given more clarity to its intentions on the issues of code stacking. In May and June at investor meetings, everyone was interested in this issue. At this point it appears that will be somewhat of a non-issue for us with many specific still to be decided. For the most part, the resolution should allow even more transparency to reimbursements for many molecular tests which we are in favor. Even in the case of cystic fibrosis, one of the more common tests is rest on this list. The solution proposed by CMS evens the playing field for diagnostic providers, and many of our new initiatives such as solid tumor genotyping, OnkoMatch or pan-ethnic carrier screen Inherigen have been priced at a substantial discount to the usual manner often cede in code stacking. From that perspective we believe our exposure to price adjustments is limited and they were also not to be positive. CMS along with old payors are looking opportunities for reduced spending. This is the business in which we work. This historically been a factor in our industry with which we've always had to deal, and we believe that our underlying business model enables us to efficiently deal with this pressure. We believe that the most pressing issue facing our industry lies in losing respect of commoditization of what we offer. In order to gain business advantage, some laboratories and most payors tend to believe that all we do is testing well within the existing boundaries and that's simply not the case. Clinical laboratories were wonderful organizations. We provide service. Physicians look to us for central service is not simply just provider of a test result. At Bio-Reference, we understand the needs of our physician customers, and whatever shape they may take and we built our growth model on attending to the special needs and unique services to those physicians require. Bio-Reference has positioned itself on the side of preserving a competitive environment for all laboratories. Promoting technology and innovation, not only for better healthcare, but providing more information to clinicians for lower cost. The healthcare landscape is evolving and are asking that initiatives will continue to flourish as these changes to our industry unfold. Bio-Reference is fully engaged and prepared for the changes that are on the horizon. We face challenges ahead in the quarters and years to come. All healthcare companies face challenges, but we have built a strong and stable management team that I believe is second in our industry and we've evidenced this by our record over the past two decades. As a team, we welcome the challenges of the future. We proud ourselves in our ability to anticipate the macro changes in the economy and in our industry and our ability to identify business solutions to embrace these challenges for long sustained growth. We're proud of the quarter. We are proud of where we sit. We're proud of what we've accomplished, which has no value other than to be able to prepare us for what we and the people at Bio-Reference, all of our business units, all of our work, for what all the people prepare to do in the coming years. With that, I want to thank you for being on the call and I am happy to take any questions.
Operator: (Operator Instructions). Your first question comes from the line of Amanda Murphy from William Blair. Please proceed.
Sylvia Chao: Just curious on the first question, I wonder if you can maybe talk about the traction you have on the newer product since it's the first full quarter of Inherigen. I wonder if you can talk about the feedback from maybe your sales force or either customers. Lastly, I am wondering if you can part out, or you would be willing to part out the growth in this quarter from the newer product versus the base business world. Thanks.
Marc Grodman: The reaction has been very strong. We have promoted these products well and they answer clinical need both, Inherigen and OnkoMatch. Certainly, Inherigen answers the need for a lot of physicians and we've been gratified by your acceptance of it. We've done very well with this and it's been especially strong as I said to you before, and as I have mentioned before, in that this is all new growth for us and we'll introduce new products. There's a sequence. We first up-sell our existing accounts, get feedback and then we use these new advantages to go up-sell to new accounts and we've done that. We got positive feedback from it and feel confident as we take it to a whole group of new physicians. So, this and even as we speak some of the new services we're doing with GenCerv which is simply a better measure we believe of really looking for the cancer of the oncogenic process in development of cervical cancer of the pap smear is something that we've been very, very excited in seeing how this has been accepted by many of our physician customers, so these new products that we have worked on for a long time, we've got out of them exactly what we wanted in terms of being able to increase business, but more so preparing us for increasing new accounts in the future.
Sylvia Chao: Okay. Thanks. Maybe switching gear a little bit onto the margin, so you have reported operating process margin expansion quarter, I am just wondering how should we expect that in the next year or two, like, is the margin expansion in this quarter more related to a return to a normalized corporate spending or it's sort of somewhat contributed from the expansion of base business growth.
Marc Grodman: We've talked for a long, but there are not mountain charts in our business there simply are plateaus and slopes, and that's what we do and there will be period of time when we could be able to consolidate the gains and times when we are going to go invest in new products, when we are going to be able to knocking those really see those margins. I think that the nature of our growth is that we, I was speaking about this quarter. I mean, we have demonstrated strong, incredibly strong growth over the years and baby steps improvement in margin, but consistency in our growth has been as consistent with our, if you will, somewhat baby steps in gross margin. There are a lot of elements that go there. It doesn't just change all of a sudden. There are a lot of the capabilities of what you do to type of testing; the tens of thousands of patients were seen all day coming from all over. You don't just jump on those margins overnight, so we think to consolidate the gains, we'll look for modest improvement going forward, but we don't ever guidance of breaking those out, because we know they are reflective of a bunch of clinicians, some of which are in our control, some of them are not, so we are pleased where we are and we think that we are in a pretty good spot right now.
Operator: Your next question comes from the line of Dane Leone from Macquarie. Please proceed.
Dane Leone: Hi, thanks for taking the questions and congratulations on a record quarter, so I'll try to keep it at two questions. My first question is reading into your commentary on esoteric growth. Are you giving an indication that esoteric growth is expected to slow over the next couple of quarters, or just moderate, I guess? From the color you gave, it seemed like you are hitting a plateau, and I was just color of why.
Marc Grodman: Because a lot of the growth that we do as we go and sell, remember we don't only sell esoteric testing. We go in and often use esoteric as a mean to differentiate ourselves in the marketplace, but then we use that advantage to become a one-stop-shop, so very often when we go in and sell esoteric testing, remember, we'll get all the business out of an account whether it'd be an OB/GYN or an oncologist account. So, because of the mix, because when we grow in that, you don't only grow in esoteric, and in fact that we grow in local market, that's why we say that, the growth of that has slowed. It's by no means a bad thing. It's a very good thing, because what it shows is that we grow in getting full services, but that's the incremental the delta of the mix that comes in. There will be a lot of routine work in and with it as well.
Dane Leone: Okay. That's helpful. Then on the operating cash flow. You've been able to make improvements in accounts receivable over the last couple of quarters, which I think has been a main driver of the cash flow improvement. Is your commentary regarding the improvements stable or, I guess, it sound to me like you are suggesting we should not extrapolate the last few quarters of cash flow into the future given that.
Marc Grodman: No. I am not saying the cash flow. What I am saying is that, in other quarter, after a few decades of doing this, you kind of build a sense about what you do and what you don't do. I don't give out guidance on DSOs. I don't give out guidance on cash necessarily. I never have. I never give out specific guidance on gross margin, and what the point is that whenever we talked about improvement in DSOs, I have always said this is great. This is wonderful. No commentary in the future. Well, hopefully [looking] to do as well, and that's what I have said every quarter. What I have said this quarter is that I think that we've reached the plateau and I think that we've consolidated improvement, so there may be a subtle distance, but that is at level that somewhere around this level working that we should. I am not ruling out future improvement, just saying is that we've consolidated our gains. We said the same thing when we broke when worked 100 days. I mean over the last four years, we've decreased DSOs by 27%.
Dane Leone: What exactly was the driver of that?
Marc Grodman: Seems pure systems that we've put in place for a long time. I just think that in many ways market conditions have gotten tougher. I have always said that one of the issues that we've dealt with is we follow the high dollar items that attract the more people and more systems that we've put into effect. Certainly in terms of, it's not quite, they clearly are related to cash flow and DSOs, there also is a relation that cash flow is also important a little bit. I guess we are able to do in terms of being able to do a lot of development in building spend that we put out. If anyone comes here now and you see where we've been like in the last year, people who visit us a year ago would not recognize Bio-Reference. It really is that simple, but now we'll wait and we'll move on to the next phase, so what comment today was is that consolidate our gains.
Dane Leone: Okay. Finally, can you quantify the impact from the scheduled cuts this year from PFS on the margins next year?
Marc Grodman: I don't think it's going to have a direct effect, but I really am not going to comment on that point.
Dane Leone: Okay. Can you remind us what your Medicare exposure is?
Marc Grodman: Our Medicare exposure is somewhere around 20%, between 20% and 25% depending on areas of what we do, so given our growth rate I don't think (Inaudible).
Operator: Your next question comes from the line of Raymond Myers from Benchmark. Please proceed.
Raymond Myers: Thank you. Good morning. Marc, could you elaborate a bit more about what stages of development these two programs that you hinted at in your prepared remarks for last June. What stages of development are those in?
Marc Grodman: No. I know what you want to comment on. I think one of the things that we have to recognize is that we have to balance whether this to be up (Inaudible) from the investor base and also be able to realize that we live in a competitive market. I can't allow our investor calls to become a creep sheet for what we are doing and we emulated, so we just really want to be able and when they are ready to be announce, we'll announce them. Suffice to say that when we have new initiatives and stuff we will think about them look at them for a long time, but I think we are recognized that we are market leader, and things that we do often will get emulated, followed and we have to be somewhat careful on how we do that. We've got to try to go in and be a little bit more careful on circumspect and when it's time to go and announce them, we'll announce them.
Raymond Myers: Okay. Thank you. Maybe other follow-up question on the new products that you've launched recently OnkoMatch, Inherigen and GenCerv. Can you describe in a little more detail what progress you've had in commercializing those and how they have contributed to your business this year.
Marc Grodman: Sure. I mean, when we introduced OnkoMatch, it's really just the start of the process. I've been looking at a different way of looking at solid tumors. We have a certain belief, and I said this in different forms. God forbid anyone on this call knows somebody who has lung cancer, may have surgery and there are going to be certain drugs that you would take as chemotherapy they may in fact be approved in certain doctors, but for all those lung cancers, whereby you may have only a handful of drugs approved based on the one mutation which is what's covered in the molecular coding. There are scores, scores of clinical trials that are coming into the marketplace that may affect people who have other mutations or combinations of those mutations. The underlying answer is, would you want to know? If someone has god forbid lung cancer, you take that out it's fine, and then two years from, three years from now. What drugs will be for clinical trials then? You want to know what the mutational status is, because mutation status of tumors still remains one of the current frontiers by former development of new therapeutic agents. This is not a fly-by-night concept. This is not telling that we've done. It's not a trick for quarter. We sit for long time is it solid tumor genotyping work? Approach is solid have to change, and if farmer goes in and looks to seek the tumors to build up mutational status to try develop the drugs, the patient deserve the same. The trick is doing is doing in a cost effective way. We've said that we've done this and we can go look up to 14 genes over 70 mutations for less than $1,000 of Medicare reimbursement that let current levels. Do you want to know? Do you need to know? Do you want your family member to know? Patient has now a normal today, can get it all out, but there are mutations that could be effective. Do you want to know? This is an ongoing process and we are betting on what the future of cancer testing is going to be like. The people will go in, and if they god forbid have a tumor that they would be characterized as best as possible to know what's there for them in the future if we can do it cost effective. In that regard, we are proud of what we've done. We are proud of our commercialization I think we have with mass general, because what share is the same mindset, and these are not one or two markets that you pick them off and try to go weeks, charge as much money as you could. This is way to go incrementally change someone's life. That's what we are doing. That's what we are committed to. For those of you who know me, know that it's not just a business. It's a sense of what's better for patient care. In the pan-ethnic carrier screen Inherigen that we did that we talked about, it was simply the idea and the sense that people have chosen. They are going to have plan to have babies, they do carrier testing, what do you do that make sense and all those things that you want to know that we have asking now did you use panels that we use for many people and that there were many that have left out, and we can do a pan-ethnic carrier screen Inherigen that can provide more information. The one thing about us, one thing that we do is that we just don't do it. We are not a once for party. We just don't things just for one test, because we offer the specialized test in a setting of one-stop-shop for the OB/GYN for who we already provide full services. As I have said in presentations, when you want to make compelling case for OB/GYN to use you, you have to go in and address infections which we clearly done with GenPath, often emulated, mostly emulated, but the product has changed the concept about how people approaching such diseases in the OB/GYN office. Emulated by most of our competitors, you have to address the issue of having babies and both, with a combination of doing raise GeneDx and follow-up doing specialized sequencing along with an Inherigen, are able to do as carrier screening, because the way to address that and then lastly comes GenCerv, which is a company which most of you know that we have invested in and which we think is great promise. HPV has changed the way that we think about cervical cancer, but HPV testing, looking at isolating which of the type of HPV you have that shows the highest risk of cervical cancer is still in infection. GenCerv answers the question or seeks to answer the question is that when is their oncogenic process took place. When are you now not looking at the infection, but looking at the potential develop this cancer. We think that's an important question. Our response of that is great, so all of these programs are well sort out I believe, and they are all used not only to generate revenues, but to generate a greater market position to have more growth for the company and that's how we invest to be able to go in and try to assure continued growth in the future. Does that help, Ray?
Raymond Myers: Yes. Those are very exciting products, and I don't know if you are willing to elaborate on the progress that you have made in commercializing them specifically has the commercialization progress been what you had planned?
Marc Grodman: The answer is, I think I said in earlier question, yes. We've gotten out of this what we have hoped and what we hope to be able to achieve with it.
Raymond Myers: That's great and we look forward to the announcement of your new products.
Marc Grodman: Great.
Raymond Myers: Thank you.
Operator: Your next question comes from the line of Mitra Ramgopal from Sidoti. Please proceed.
Mitra Ramgopal: Yes. Hi. Good morning, Marc. Just two questions. Again, coming back to the new programs you just talked about. If you can give us a sense like the competitive environment and typically how long it is before you might start seeing any potential commoditization there.
Marc Grodman: In terms of what we haven't announced it?
Mitra Ramgopal: In terms of like the new products you had just introduced.
Marc Grodman: We are feeling that we'll still be effecting it right now. As I said before, there's revenues in this quarter that represent the new testing that we've done and we are proud of that and we think that there will be more revenues from that and some associated revenues that will gain new business from the next quarter, so we are in full swing of commercialization.
Mitra Ramgopal: Typically, in terms of someone covered up with a similar test or competing test so to speak, what's the sort of.
Marc Grodman: I can't comment on that. There are wonderful things about being in clinical laboratories. We can innovate, we operate under clear, we innovate, we operate under CLIA, we innovate new test. We do it under strict license of controls, strict inspections that we do, but we are able to go in and innovate in laboratories like GeneDx. I mean we remain with them on par. We are very special add and want new services to be introduced. I can't comment on what other people do and whether they are going in and do this catch-up, and remember when they do and do they do the same test, it's not only the test. It's a clinical application it's how it's done, it's how it's sold, it's how explained. In some way being able to go. There are smarter people than me have called and talked about laboratories and we don't run a lab. We practice laboratory medicine and we take that to heart and that's part of the process of what we do. It's part of us being a very acquisition scientist-driven company and kind of defined as a bit different, so I don't know when other people will go do it. I mean they will do it when they will, but we know that they will. That's a nature of what our business is, which is good. If we stand for anything we stand for competition, we stand for, as I mentioned in my notes, in fact that we have to compete. Patients don't do well when they don't have a choice. Doctors don't get to be better without a choice. No one wants to live in a world where you have to go to one doctor and you can't do anything about it. No one wants to live in a world, where you have to go use one lab and you can't do anything about it, but what happens to service and innovation when that occurs? What happens to people is there anything that anyone's walk a life that you really feel comfortable about that as you think about that you are getting the best that you can? You need a lot of smart people who has done a lot of things to be able to innovate new ideas. You can't introduce innovation and we get stuck. It's not the business we want to be in. It's an environment that we fight with forever.
Mitra Ramgopal: That is very helpful thanks. Quickly, I think you had mentioned in your prepared remarks about top line expected to slow just as you compete to get bigger. As maybe you tried to kind of maybe sustain maybe in the 15% that we have right now in terms of the guidance. Is it going to more to focus developing new test, new programs or services and also maybe adding more feet on the ground?
Marc Grodman: We always look opportunistically to bring more feet on the ground. We always do that and I mentioned that we always look for opportunities where we find good people in areas where we need to get more help. We either have new services and we introduced them. We want to go hire new people, so we always will add opportunistically in areas of feet on the ground. In terms of top line business, we give guidance greater than 15%. The point that I raised for this one is that we obviously are growing on a larger denominator which in one of the biggest threats we have to where we are, but that wasn't the point that we made. We'll make the point about the fact that this summer seemed light, because there have been talk about volumes being light, right? Now I am really not commenting on that. I am just putting in perspective our growth compared to the market and where we are vis-à-vis the others, and it's not a metric which in any way is sustainable. It somewhat is remarkable, but it puts into perspective what we've accomplished, so I still think that we are a growth company, a stronger growth company that we pay for and we invest in. We push to be able to go in and come up with ways to be able to become more relevant physicians around the country. We are lucky. It's a big market. It's a big country. We can do more services, and the country and laboratories of right innovation.
Operator: Your next question comes from the line of Stephen Shankman from UBS. Please proceed.
Stephen Shankman: Thanks. Good morning. Marc, I wanted to touch on the Women's Health business. It seems like some of your larger peers have invested more heavily in that area over the last year or so, so I am wondering if you saw any greater competitive pressures from those peers, say, in this quarter or would you expect that competitive pressure to increase going forward? Or is it simply just a function of the larger numbers as you reference earlier.
Marc Grodman: Yes. I mean, I don't know how much more trouble you can get me in, Steve. I have already made comments about where we were in growth for vis-à-vis competitors and I really shouldn't go beyond that. In the metric, we feel very strong about our advantages. We've been very strong in women's health and we continue to grow in this area. We are proud of our innovation. If you think about the things that we are doing in terms of one-stop-shop that we offer in terms of still I think the best infectious disease service that anyone could ask for. Development of GenCerv changing the way you think about cervical cancer screening. Clearly Inherigen and the other test work of GeneDx in prenatal diagnostics, all of them lead to I think a very strong competitive issue, very competitive advantage, so let me just say that women's health remains a strong focus for us. It's a classic example of using all of the capabilities that we have here, the scientific, the market and the technical and providing a very compelling service and I can't comment on what anyone else is done. You are absolutely right is that there is competition and there has been. It isn't just now. It's in I think for the last year has been the competition from a lot of people and people talking about it. It's just that we didn't talk about it being the focus and doing it and we feel we are very proud about what we've accomplished and what we have yet to do.
Stephen Shankman: Okay. That's fair. Then I was going to ask you about the challenges that you referenced in your press release, so I certainly appreciate the color you provided in the comments earlier, but as a quick follow-up there, do you any of those headwinds may change either positively or negatively based on who wins the elections in November?
Marc Grodman: I think that anyone who could reasonably answer, I don't know if anyone could answer the question, because the problem that affects us is not the election. It's going to be the deadlock that's occurred in congress, and the confusion of what's occurred over the last few years, so I think it's very, very hard to be able to say. I think the question that you could ask is that, do we think that we're going to back of the $700 million of cuts that were made under the Affordable Care Act that we went through and farmer went through and every provider went through of those, do we really believe that we are going to get those cuts reinstated for all of our providers is $12 billion was a 10-year concession by the clinical laboratory area. Of course, what's going to get those back no matter what happens? I don't know whether opposite difference really politically of what's going on. Every year we've been through this and every year I know that you've been following as we go through what's going to happen in Washington and will there be ongoing pressures, and looking back, there has been ongoing steady pressures. Not substantial, not overwhelming, not draconian, but ongoing slow steady pressures much like the pressures in the rest of the market if you really think about it over a long period of time, and there simply is no way that we can be able to predict, because there are too many drama involved in that and there will, and there will be drama come whoever wins in the early part of next year. I just think that a growth company and one that seeks to now trying to go in and find new ways to do more for less, we'll be better equipped for those than those who don't have a strong growth patterns.
Stephen Shankman: Okay. Great. That's it for me. Thanks very much.
Operator: There are no further questions at this time. I would now like to turn the call over to Dr. Grodman for closing remarks.
Marc Grodman: Thank you very much. I want to thank all of you for being on the call. We are enthused about where we are. We are proud of where we've come from, we are excited about where the future takes us. Thanks for coming along for the ride. Wish you all well and I will talk to you for our year-end call in December. Thank you. Bye, bye.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Good day.